Operator: Good afternoon, ladies and gentlemen, welcome to the Metabolix Incorporated business update conference call. As a reminder, today’s call is being recorded. I would now like to turn the conference over to Mr. James Palczynski of ICR. Please go ahead.
James Palczynski: Thank you, operator, and good afternoon, everyone. Metabolix issued a press release after the market closed today. If you do not have a copy, one may be found on the website at www.metabolix.com in the Investor Relations section. Making the presentation today will be Richard Eno, President and Chief Executive Officer of Metabolix; and Joseph Hill, Chief Financial Officer of the Company. They are joined by Oliver Peoples, a Co-founder of Metabolix and Chief Scientific Officer. Before we begin our formal remarks, I need to remind everyone that, part of our discussion today will include forward-looking statements. These statements are not guarantees of future performance, and therefore, undue reliance should not be put upon them. The Company undertakes no obligation to update any forward-looking statements in order to reflect events or circumstances that may arise after the date of this conference call. We refer all of you to our recent filings with the Securities and Exchange Commission, including our quarterly Form 10-Qs filed during 2011, and 10-K for the year ended December 31, 2010, for a more detailed discussion of the risk that could impact our business and our future operating results and financial condition. With that, I’d like to turn the call over to Rick Eno, President and CEO of Metabolix. Rick?
Richard P. Eno: Thank you, James. Good evening and thank you for joining us in this important call this evening. As I’m sure that you are aware, Metabolix today announced that the Archer Daniels Midland Company, ADM, has given notice of termination for the Telles LLC joint venture for PHA bioplastics. The effective date of the termination is February 8, 2012. In tonight’s call, I will describe this event and its implications to Metabolix. I will address the ADM termination and what it means, the focus of Metabolix moving forward, and the restructuring impact on Metabolix. I will also address some questions that I believe will be important to you, and we will also take questions at the end of the call. I’d like to begin with the ADM termination and its implications. Telles LLC was established as a 50-50 joint venture between Metabolix and ADM in July 2006. The objective of the joint venture was to commercialize our unique family of bio-based biodegradable PHA bioplastics. To supply the joint venture, ADM constructed and operated a polymer manufacturing facility in Clinton, Iowa with a design capacity of 50,000 tons per year. Metabolix provided all of the enabling intellectual property, and was responsible for establishing compounding operations for the venture. As of early 2012, the joint venture has had ongoing sales activities in the U.S., across Europe and in other countries around the world. As of October 2011, the venture was working with approximately 100 customers and prospects, with 57 customers and 26 repeat buyers. The business has continued to expand since October. ADM recently undertook a strategic review of its business investments, and made the decision to terminate their participation in the joint venture. They have always had this right, as we have previously disclosed. We learned of the decision this week and did not expect it. ADM indicated that projected financial returns were too uncertain as the basis for their decision. As a result, ADM will retain its manufacturing plant in Clinton, Iowa. The Metabolix PHA bioplastics technology works well at commercial scale. In particular, the fermentation scale-up and performance was exceptional, as was feedback from the market. That being said, capital costs were more than anticipated and projected future operating costs, including raw materials costs, were uncertain and as you know, the times for commercializing this new innovative material have been longer than anticipated. The terms of our agreement with ADM are very clear with regards to the implications of the termination. ADM no longer has the obligation to fund the joint venture, nor supply PHA product. All intellectual property flows back to Metabolix. Metabolix will retain sole rights to all PHA bioplastics technology, including intellectual property rights and trademarks, the Telles joint venture is wound down. The obligations of the joint venture to pay back the ledger balance, which stood at $425 million as of the end of Q3 2011, are eliminated. Therefore, Metabolix will have no ongoing obligation under the ledger account, which was funded by ADM to finance the Clinton plant and certain Telles operating costs. Our exclusivity with ADM for PHA bioplastics will be ended and we will now be able to discuss a range of alternative business models with potential partners around the world. Unfortunately, another implication of the termination is that in the very near-term, it is highly unlikely that we will be able to supply our customers with commercial quantities materials due to the lack of a commercial manufacturing asset. We will be working with each of our customers and prospects to manage this transition as effectively as possible. I would like to describe how we're thinking about the company moving forward. Given that this is very recent news for us, clearly, there are a number of serious implications for the company and it necessitate that we redefine our business strategy. We have an aggressive ongoing effort to define our targets for 2012 and beyond, and have an impressive option set with which to work. First, the company will continue commercialization of its renewable industrial chemicals programs. These business lines have an addressable market exceeding $10 billion and we have partnering discussions ongoing. We believe that our PHA technology can enable an attractive mechanism for the production of renewable chemicals. The very effective scale-up of the microbial strains demonstrated by the Telles joint venture, as well as our recent C4 chemicals fermentation scale-up, coupled with a capital-light recovery scheme provide us with the confidence to move this effectively forward. Second, with regard to bioplastics, we remain confident that we have a unique and commercially-viable material for this market. Numerous external sources project that the bioplastics market is growing at about 20% per year and based on our experience, we can see where a PHA offering can participate in this growth. We believe that we have the strongest PHA intellectual property technology portfolio and market experience of anyone in the world. As such, we plan to retain a small business positioning and launch team to provide continuity with the bioplastics technology and engage in new partnering discussions, and to [value] options to launch the PHA bioplastics business with a new business model. This team is expected to examine smaller-scale options addressing higher-valued market segments. With the elimination of the $425 million ledger balance, we will now be seeking ways to commercialize this business in a way that can deliver attractive returns to our shareholders. Third, we will deliver on our $6 million DoE grant to demonstrate low cost production of chemicals from biomass crops and examine alternative options for our oilseeds program. Let me now address where we are with regards to restructuring and the management of our cash resources. We’re committed to effectively managing these resources while creating significant value from our core technology platforms. In conjunction with the shift in priorities for 2012, Metabolix will restructure its bioplastics business and downsize operations with details being finalized. Metabolix ended 2011 with an unaudited cash and investment balance in excess of $78 million. In 2012, we currently expect to take a restructuring charge of approximately $2 million to $3 million, resulting in an estimated cash usage in 2012 between $23 million and $28 million. We currently expect to end 2012 with cash and investment balances between $50 million and $55 million. I like to answer some of the questions that I’m sure you have and then we’ll open the call up to other questions. First, did Metabolix have any backup plans in place, in case of the event of an ADM termination? Well, as part of our corporate risk management process, we regularly review a range of scenarios and outline how would respond. The risk of a termination by ADM and our subsequent response was discussed several times. We did not expect this to occur. However, due to our contractual obligations to ADM, until now, we have been unable to proceed with the primary mitigation strategy, which is to engage with alternative partners. We are now able to do this. We do know who some of these potential partners are, and we will begin these discussions as quickly as we can. Another question. How will you be able to support your customers? While we have retained our pilot manufacturing capabilities for PHA bioplastics, we will no longer have commercial-scale production capacity available. While we are examining near-term options, it is highly likely that we will not have an immediate economically-viable supply source. As a result of the ADM termination, we do have the right to access some of their fermentation capacity for a period of time. We have not yet determined whether we will exercise this right. As part of our effort to commercialize our bioplastics business, we will be examining alternative approaches, in order to regain production capacity. However, we are not able to project any timing for having commercial production capabilities available. Another question. Do you still see the bioplastics market as attractive? Answer, absolutely. This market is large, it is growing, and we’ve gained five years of commercial experience, including the last 15 months with product from a commercially-scaled facility. We have a very good understanding of the customers, the markets, and the underlying manufacturing technology. In addition, the Metabolix technology has advanced substantially since 2006, the initiation of the joint venture. Based on this understanding, we will seek to develop alternative launch options. Furthermore, the recent and expected strong growth in bioplastics makes this market very well-primed for PHA materials. We were experiencing steady quarter-over-quarter growth. Frankly, while we understand the concerns that ADM had, we think Telles would have proven to be a successful business. We think new potential partners will agree and we are eager to advance those discussions. Another question. What are some of the things that you would do differently in the future in a bioplastics relaunch? This will be the primary effort of our business positioning and launch team in early 2012. I would expect an initial facility that is smaller than the 50,000 ton-per-year initial Clinton design capacity, and an initial market focus on high-margin opportunities. Our fermentation technology was proven to be exceptional at world scale, and we have next generation strains ready for deployment. Our recovery technology may likely be targeted to specific grades, which will be determined based on relative market attractiveness. It is clear that developing a lower capital approach will be essential, and we have some options framed out that we will now evaluate. We have five years of learning, which we and a new partner can now benefit from, and that is very valuable knowledge. We will also be looking at actively at non-food and next-generation cellulosic sugar capacities, which could offer feedstock cost advantages. I’d now like to open the call up for additional questions.
Operator: Thank you. (Operator Instructions) And we'll go first to JinMing Liu with Ardour Capital.
JinMing Liu – Ardour Capital Investments: Hi, Rick.
Richard P. Eno: Hi, Ming.
JinMing Liu – Ardour Capital Investments: Yeah, first question just look like clarifying your relationship with ADM. So basically, I read ADM's news release, it sounds like they will terminate their operation at the Clinton facility, but there are also a window of three years you can ask ADM to produce PHA for you. Is that the correct answer? Or you will work out something with ADM?
Richard P. Eno: JinMing, we have – due to the timing of the termination, as I mentioned in the prepared remarks, we have the right to have ADM produced fermentation broth for us for a period of time. Not necessarily PHA polymer for market use.
JinMing Liu – Ardour Capital Investments: I see. It is just all products, you have to do the purification and everything yourself?
Richard P. Eno: That's right.
JinMing Liu – Ardour Capital Investments: Okay. And looking forward, for your future production capacity, can you share with us some options you are looking at? Are you looking at contract manufacturing or you are looking at just another partner or some additional capacity either a distribution channel or some expertise in the fermentation?
Richard P. Eno: This news, JinMing, is so recent for us. We will look at those options and numerous things that we have internally brainstormed, but we have lived up to the obligations of our relationship with ADM and we have not discussed any options externally. And that’s really our next step is to go through the options suite and begin to determine the preference to Metabolix and its shareholders, as well as kind of the speed at which we can get products back into market into a customer base that we know very well with a product we know is exceptional.
JinMing Liu – Ardour Capital Investments: One last question. Back to [your relationship] with ADM. If I remember correctly, there are regional collaboration agreement specifies ADM also have the right to produce PHA when even if the agreement is terminated, collaboration is terminated. Is that the scenario? Or ADM just completely exit that part of the…
Richard P. Eno: JinMing, under the terms of the agreement, ADM has no access to Metabolix’s PHA technology going forward.
JinMing Liu – Ardour Capital Investments: Okay good. Thanks.
Operator: And our next question comes from Jeff Zekauskas with JPMorgan.
Jeff Zekauskas – JPMorgan Securities, Inc.: Hi, good afternoon.
Richard P. Eno: Hi, Jeff.
Jeff Zekauskas – JPMorgan Securities, Inc.: If I remember correctly, what was going to happen was, there would be certain research and development costs that would be defrayed by the joint venture this year if you were to sell the millions pound. And my recollection was that, that was about $14.5 million in total. And in addition, I thought that there was something like $3.5 million of SG&A expense that would be defrayed for a total of about $18 million. Do you think that that amount of spending will be higher or will be lower in the context of shifting away from the Telles joint venture?
Joseph D. Hill: Hi, Jeff. This is Joe. So as Rick said, this is new news to us, so we are evaluating exactly what our re-focus is going to be and our restructure. But as we said in the press release that we are expecting that are to be taking a restructuring charge, some restructuring charges this year, and that our cash burn for the year will be between $23 million and $28 million, including the restructuring charge. And if you recall, so that is less than what we had planned to spend before any of the defray of the costs.
Jeff Zekauskas – JPMorgan Securities, Inc.: So it sounds like that you’re already taking some rationalization steps?
Joseph D. Hill: That’s correct.
Jeff Zekauskas – JPMorgan Securities, Inc.: Can you remind me how many Metabolix people work in the Telles joint venture?
Joseph D. Hill: I don’t think we’ve disclosed that of how many are working in the Telles joint venture versus Metabolix.
Jeff Zekauskas – JPMorgan Securities, Inc.: Okay. So is it the case that your PHA business will still be the primary focus of the Company in 2012? Or do you think that that will shift?
Richard P. Eno: Jeff, Rick here. As we mentioned, this is very new news to us.
Jeff Zekauskas – JPMorgan Securities, Inc.: Yeah.
Richard P. Eno: And beginning, we have begun this week, in the last 24 hours to look very hard at the balance. I am very pleased that we have a strong cash balance. We have got an interesting opportunity set and as I noted in the prepared remarks, the PHA plastics business is something that we have deep insight into. We know the markets, we know the customers, we are going to look very closely at how with a different business model, we can get into that and that work will begin immediately. Chemicals, we are very bullish on, because of its potential to defined market and the simplicity of the recovery process we have for chemicals, coupled with how well our fermentation has run. The relative spend in those, we will examine and the priority will come out based on what is the best value creation mechanism for Metabolix.
Jeff Zekauskas – JPMorgan Securities, Inc.: Okay. And then lastly, you said that you would focus on higher-value PHA applications and move away from lower-value applications? Can you remind me, which are the higher-value applications and which are the lower-value applications?
Richard P. Eno: Jeff, we’ve never disclosed this. That would be some confidential market information that we have, but we have been out in the market for a number of years looking at value and use of PHAs across a host of different applications. We have noted that we’ve got selling prices with the joint venture in the $2.25 to $2.75 per pound range and higher prices in certain niches. So we are not disclosing where those high-valued opportunities are.
Jeff Zekauskas – JPMorgan Securities, Inc.: Okay, thank you very much.
Richard P. Eno: Thank you.
Operator: And we'll go next to Jeff Osborne with Stifel Nicolaus.
Jeff Osborne – Stifel Nicolaus: Rick, good evening. Just I know its somewhat irrelevant now, but you kept, I think you used the world-class fermentation scale several times in your comments, Rick. Were you guys able to achieve the million pounds in the calendar fourth quarter?
Richard P. Eno: We would say Jeff that we were on track with the guidance we provided in the last call.
Jeff Osborne – Stifel Nicolaus: Okay. Is there any sense or any comfort that when you had trouble hitting the million based on all of the variables that were in the agreements that were in cash collection and what not but is there any comfort that you can give us around manufacturing costs and truly world-scale manufacturing at that facility? As we look forward to a smaller-scale facility in the future?
Richard P. Eno: No, not at this point. That will be confidential to Metabolix. And as we have said many times over the last couple of years and I mentioned it in the prepared remarks is, in a new developing technology like this, it doesn’t stand still. We have continued to work on this and from the strain side to alternative recovery schemes over the years. And what we built, what ADM built on behalf of Telles reflected generation of the technology and technology has moved. And it’s our competitive advantage to know the things that will be included in next-generation technology, but rest assured, we’ve been working on that for quite a while.
Jeff Osborne – Stifel Nicolaus: I appreciate that. Just as an outsider, it’s not readily apparent based on the data that’s reported, on whether the plant actually even works or not.
Richard P. Eno: Let me just address that. The primary objective in the last year, as we’ve talked, is to produce high-quality product for the market, in order to develop the market. We’ve been seeing steady quarter-over-quarter growth. We have testimonials from customers calling the product, in some cases, perfect. So I think that the plant worked very, very well in terms of producing the quality product. And we were facing the challenges any new, innovative material faces in the launch of a new business in getting the supply chain signed up, getting the channel partners lined up. But I think it’s very harsh to say the plant did not work.
Jeff Osborne – Stifel Nicolaus: That wasn’t what I was getting at. It was just based on what you’ve reported in terms of the lack of output and cost structure. It’s a bit difficult to get your hands around. But it’s good to hear that it definitely was moving forward and progressing. On a separate topic, with the contracts that you had in place with agreements with customers that the 37 I believe that you mentioned, is there any legal liabilities with cancellations of those? Or any costs from a cash perspective that we need to think about our model?
Richard P. Eno: I would say that you would not have to model anything for that.
Jeff Osborne – Stifel Nicolaus: Okay. And I think Jeff Zekauskas was trying to get at this, but what should we think about from an OpEx run rate, more in the second half of the year, once this restructuring has taken place?
Joseph Hill: Right. So our current thinking right now is we’re working through this. As we said that, including a $2 million to $3 million restructure charge, we are expecting the 2012 expenses to be between $23 million and $28 million for the year.
Richard P. Eno: But I don’t think, Jeff, we are in a position at this point, given the strategic work we’re progressing with right now to say year-end 2012 will be at a run rate of X.
Jeff Osborne – Stifel Nicolaus: Okay.
Richard P. Eno: But we have looked ahead for this year to give you confidence that we will continue to focus on maintaining a strong balance sheet and that as far as we have gotten in the last 24 or 48 hours.
Jeff Osborne – Stifel Nicolaus: Perfect. And just two quick ones here. Beyond PHA, is there any internal development of other types of bioplastics, perhaps leveraging your BDO development or anything there? Are you pretty committed to just kind of the high-ASP niche PHA segment that you're going to go after with these new smaller plants in the future?
Richard P. Eno: Well, first of all, the model for the future has not yet been defined yet. But there is no doubt that our core competency is around the PHA family, including chemicals, plastics and crops. We will remain focused in that area and there are a lot of excellent other bioplastic manufacturers out there commercializing other materials. We have got plenty of runway we believe with PHA-based solutions that sometimes can complement those other materials and offer a lot of growth potential for us. So I see no possibility right now that we would be stepping outside of the PHA world given our experience in that world.
Jeff Osborne – Stifel Nicolaus: I understand. And the last one, just with the stock off 40% to 50% in your after hours, what do you think, going forward, the next six months or so would be the key milestones that investors should look for towards hearing from you? But A, and then B, how will you disseminate those? Would it just be an update on earnings calls about potential deals that you're working on or future plants? It seems like that might take six or 12 months to get some of these ironed out, given the competitive dynamics in the broader biochemical space right now and the number of other people seeking similar partners from a feedstock and [off take] agreement perspective. The markets are a lot more crowded now than it was in 2006 and 2007, when you signed the ADM deal.
Richard P. Eno: Yes, I think that it is a little too early to tell you exactly what you should be looking for from us. I think what we intend to do is to provide our investors with clarity of our strategic plan, given the change in circumstances. With regards to your question, we’ll certainly be providing, on timing that is, we will certainly providing an update on our year-end call on March 6. And if things happen materially between now and then, we are committed to keep you updated with our developments. But I think, Jeff, it is a little bit too early right now to outline our specific milestones and priorities for 2012. As I noted in the prepared remarks, that is one of the things we're working on right now.
Jeff Osborne – Stifel Nicolaus: Perfect. Thanks very much. And good luck.
Richard P. Eno: Thank you.
Operator: And we do have a follow-up question from Jeff Zekauskas.
Jeff Zekauskas – JPMorgan Securities, Inc.: Thanks very much. Just one last question. How do the terms of your raw material sourcing change? That is – I think you had various agreements with ADM as to how you would get your feedstock. Are those agreements still in place? Or do you need to find a new feedstock? Or if you continue to procure feedstock from ADM, do you do it on the same financial terms that you did when the joint venture was in place?
Richard P. Eno: The brief answer, Jeff, is that we would need to find other alternative feedstocks. The raw material pricing arrangement with ADM was the pricing of sugars from their wet mill to the PHA polymer plant, which they own.
Jeff Zekauskas – JPMorgan Securities, Inc.: Yes.
Richard P. Eno: And with that plant no longer producing PHA polymers on behalf of Telles, then that feedstock arrangement is not relevant at this point.
Jeff Zekauskas – JPMorgan Securities, Inc.: Okay, good. Thank you very much.
Richard P. Eno: Thank you.
Operator: And our next question comes from Laurence Alexander with Jefferies.
Laurence Alexander – Jefferies & Co.: Good evening.
Richard P. Eno: Good evening. Laurence, hello.
Laurence Alexander – Jefferies & Co.: I guess a couple of questions. First, with respect to the $23 million to $28 million of expenses this year, do you have a rough sense for how much of that is tangled up with Telles and the Telles wind down? That is what is already incurred or in process (inaudible) so far? And how much is sort of a run rate associated with the crops program?
Joseph D. Hill: Okay. Laurence, that’s a good question. We haven’t disclosed in our spending how much we’re allocating to each of our programs. So unfortunately, we’re not going to be able to give you the breakout of the run rate between crops and industrial chemicals and bioplastics. If you look at what the restructuring charges on there, that will be associated with – included in that is wind down expenses for the Telles joint venture.
Laurence Alexander – Jefferies & Co.: Okay. I guess, given that the crop program is your longest-tail project, how much – would you like to disclose roughly how much of your cash burn is associated with that?
Joseph D. Hill: No, at this point, Laurence, we are not prepared to disclose the breakout of how much we spend on any one of our programs.
Laurence Alexander – Jefferies & Co.: Okay. Secondly, with the discussion with CJ, I guess, were you originally looking at sourcing low-grade PHA from Clinton? And do you now need to look at integrated economics as opposed to just the conversion step economics? Or is there any other way (inaudible) the CJ negotiation?
Richard P. Eno: No. If I can understand the question lines, the CJ developments were completely separate from the PHA bioplastics venture with ADM. They were using a different business model in effect, a different microbial strain, and the work is ongoing with CJ around the terms of our JVA. But there was no integration from a product perspective between the two of them at all.
Laurence Alexander – Jefferies & Co.: If you did make an agreement with ADM to continue producing PHA, how much capacity is available?
Richard P. Eno: I don’t think that is a relevant question, Laurence. ADM has terminated the relationship and actually has taken a write-off of the asset from what I can understand.
Laurence Alexander – Jefferies & Co.: So even if you were to use your option to have them source, produce the raw material for you, they wouldn’t do that?
Richard P. Eno: That is not necessarily true. During the development stages of the business, ADM made very effective PHA broth at its Decatur facility. I mean its fermentation system is what is required. And I noted that we have not decided about whether we will exercise that option. But I am sure that ADM would be prepared to live by the terms of the agreement if we needed to.
Laurence Alexander – Jefferies & Co.: Okay. And as you look at your various studies for doing the Clinton expansion versus doing other potential PHA projects, you’re already doing some of the engineering work associated with that and have done some spending associated with that. Do you have any sense for what Greenfield CapEx cost could be for a new PHA plant on a dollar per pound or aggregate basis?
Richard P. Eno: Not at this point, Laurence, because the work that has been ongoing has been around the advancement of the technology, looking at alternative recovery schemes. But we’ve not had any reason until this week to even think about developing the economics for a Greenfield PHA plant. That now becomes a task that our launch team will start looking at in detail. But there has been no reason that we’ve had to put resources against that type of analysis at this point in time, because of our historic relationship with ADM.
Laurence Alexander – Jefferies & Co.: Okay. Thank you.
Richard P. Eno: Thank you.
Operator: And we'll take a follow-up question from JinMing Liu.
JinMing Liu – Ardour Capital Investments: Hi, thanks for taking my follow-up question. Just one quick one for Joe. What will be the accounting treatment for your long-term deferred revenue? That's about $36 million. I know its non-cash, but what will the accounting treatment be?
Joseph D. Hill: It's not cash and we are working through that with the auditors right now. So I can't give a definitive answer. When we get an answer on that, we will let you know, but all of the obligations associated with that deferred revenue will be ceasing with the termination of the joint venture.
JinMing Liu – Ardour Capital Investments: So you're not obligated to return any cash to ADM?
Joseph D. Hill: No, we are not obligated to return any cash to ADM.
JinMing Liu – Ardour Capital Investments: Okay, thanks.
Operator: And at this time, there are no further questions. I'll turn the call back to Mr. Eno.
Richard P. Eno: Thank you very much for your questions and your interest in Metabolix. While ADM's termination of the Telles venture is a setback for the company, we’re reassured by a number of key positive considerations. This includes a very good cash position, and a strong and differentiated intellectual property portfolio. Additionally, from a high level perspective, we are very well aligned with the market trends around renewable solutions and sustainability. That combination points to a large market opportunity and offers us numerous options for partnerships and commercialization pathways. I would like to sincerely thank our customers, distributors and technical partners for their interest in developing PHA-based solutions to address the growing market need for bioplastics. Your shared vision with us to create sustainable bioplastic solutions has been energizing. And most of all, I would like to express my appreciation for the efforts of both the Telles and the ADM polymer teams, who have demonstrated the commercialization of PHA bioplastics at world scale. The results of your pioneering efforts are a leading indicator what I believe will ultimately be a transformational and economically attractive new family of materials. I believe Ollie has a few words.
Oliver P. Peoples: Thanks, Rick. Obviously, this is a major and extremely frustrating set-back for Metabolix in our progress to commercialize the PHA bioplastics platform. I woke up last night at 2:00 AM thinking that just as we were emerging from a long dark tunnel with the light in view, someone slammed on the brakes. But the light is still there. We now have major challenges ahead of us in the PHA bioplastics business. I appreciate the commitment of the ADM executives who made the decision to work with Metabolix and the relationship instrumental in our development. I have tremendous respect for the commitment and effort of the ADM team and the staff involved in the Telles business. We accomplished a lot together, and I’m sorry this did not work out for them. Your contributions to the emergence of the PHA bioplastics business will be noted. Well, we must learn from this experience. Today, we have a clear understanding of the markets and price points for our PHA bioplastics and a list of customers. We have demonstrated the ability to manufacture at industrial scale a range of high-quality products well-received by customers. We have a clear understanding of costs and how to further improve the manufacturing based on world-scale experience. We own next-generation technologies developed by Metabolix, which were in the line for deployment at Clinton. We are now free to work with other partners and have a tremendous opportunity in PHA bioplastics business ahead of us. The business is back under our control and free of debt. I’m disappointed and frustrated, but even taking into account major challenges ahead, I remain convinced that we have demonstrated tremendous potential of PHC bioplastics, a product the world needs, I am committed to delivering. Thank you.
Richard P. Eno: Thanks, Ollie. I share your sentiments. In terms of future communications to you, we will be holding our 2011 year-end earnings call and will be in a better position to discuss our plans for 2012 on March 6. If we can provide you with a meaningful update prior to that date, it’s our intent to do so. We appreciate your patience and understanding in the meantime. If you have any specific questions that you would like us to address, please e-mail them to james.palczynski@icrinc.com. His contact information is at the bottom of today’s press release, we will try to cover as many as possible during the future calls. Thank you very much and have a nice evening.
Operator: And ladies and gentlemen, that does conclude today’s presentation. We thank you for your participation.